Operator: Good day. And thank you for standing by. Welcome to the Frontier Group Holdings’ Q1 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, David Erdman, Senior Director, Investor Relations.
David Erdman: Thank you, and good morning. Welcome to our first quarter 2025 earnings call. On the call with me and speaking are Barry Biffle, Chief Executive Officer; Jimmy Dempsey, President; and Bobby Schroeter, Chief Commercial Officer and Mark Mitchell, Chief Financial Officer. Each will deliver brief prepared remarks, but before they do, I’ll recite the customary safe harbor provisions. During this call, we will be making forward-looking statements, which are subject to risks and uncertainties. Actual results may differ materially from those predicted in these forward-looking statements. Additional information concerning risk factors, which could cause such differences are outlined in the announcement we released earlier, along with reports we file with the Securities and Exchange Commission. We will also discuss non-GAAP financial measures. Actual results of which are reconciled to the nearest comparable GAAP measure in the appendix of the earnings announcement. I'll now yield the floor to Barry to begin his prepared remarks. Barry?
Barry Biffle: Thanks, David, and good afternoon, everyone. Our results for the quarter were lower original expectations due to a disruption to travel demand and mark. This sudden change in demand was driven by the macro uncertainty that's been widely reported and it led to aggressive pricing and promotions across the industry. We experienced an outsized impact given the domestic leisure concentration of our business. However, current booking trends suggest demand for May and early summer travel has stabilized, supported by our recent revenue and network enhancements and capacity optimization. Further, planned capacity moderation across the industry is constructive. In this environment, we're focused on the elements of our business that are within our control, primarily capacity and management of our costs and capital expenditures while continuing to provide our customers with what we believe is the best overall value in air travel. Jimmy and Bobby will discuss our commercial initiatives in more detail during their prepared remarks. We've significantly reduced capacity through our mid-November selling schedule with the adjustments focused on the off-peak days of week. We expect capacity to be down low single digits in the second quarter and a similar reduction in the second half of the year based on current conditions. Capacity reductions are expected to reduce costs and capital expenditures by over $300 million combined compared to previous expectations. Mark will provide context in his remarks. Accordingly, we're targeting profitability in the second half of the year based on a stabilized demand outlook supplemented with our self-help measures in moderating industry capacity. Before concluding, I'd like to thank Team Frontier for all their contributions during the quarter and for remaining focused on our top priority of delivering a safe and reliable experience to our customers. I'll now turn the call over to Jimmy for a commercial overview. Jimmy?
Jimmy Dempsey: Thanks, Barry, and good afternoon, everyone. Briefly recapping our revenue performance, total operating revenue in the first quarter increased 5% versus the prior year quarter to $912 million on 5% higher capacity. RASM was $0.0917 cents, roughly in line with the prior year quarter, and total revenue per passenger was $116, down 6% but below expectations despite a strong start to the year. Economic uncertainty weighed heavily on demand, most notably in March, and it was met with aggressive pricing and promotions across the industry. Enplanements were 12% higher and departures were 6% -- were up 6% on an average stage length of 925 miles, 3% below the prior year quarter. As we entered 2025, our forecast capacity deployment matched the improving demand backdrop. As we experienced changes in the demand environment, particularly in March, we reassessed our capacity deployment from May forward with the resultant reduction focused on Tuesdays, Wednesdays, and Saturdays. Our expectation is that the adjustment in capacity will continue for the remainder of this year such that off-peak flying in summer will now be approximately half of our peak day flying. Our simplified out-and-back network provides three key benefits to the business as we navigate the current environment. It enables flexibility and changes in capacity deployment, both additions and reductions. It provides reliability and operation recovery benefits, and it lowers our costs. Our simplified network and presence in 13 bases across the country enables us to provide our customers with more for less. This value proposition is clear with the introduction a year ago of the new Frontier, which in this environment takes on heightened importance and is strengthened by our enhanced product offerings and loyalty upgrades. For example, our economy bundle provides customers with a direct comparison to other airlines' economy fares by offering a carry-on bag, seat selection, and no change cancel fees. The economy bundle provides a standardized product enabling us to compete and win on cost. Moreover, our cardholders get two free [inaudible] 0:05:23.2checkbooks when they book with us. Our merchandising improvements introduced with the new Frontier will be enhanced shortly on our website and with the introduction of new Android and iOS apps. I'll now hand it over to Bobby to recap on our enhanced product offerings.
Bobby Schroeter: Thanks, Jimmy. The new Frontier has reshaped our commercial strategy across product, network, and digital. A major part of the transformation is the work we're doing to elevate loyalty and customer engagement, ensuring Frontier is not only the lowest fare but also the best overall value in air travel. Since last year, we've implemented a number of meaningful enhancements. We transformed our product and bundle merchandising while removing change fees from our bundled products. We added free check bags for co-brand cardholders and simplified the path to elite status. Additionally, elite members now enjoy complimentary seat upgrades providing real, tangible benefits that we are able to provide even at lower status tiers, something that's increasingly rare in other airline programs. We previously announced that Frontier miles will soon be redeemable for bundles and that an unlimited companion pass benefit is coming as well for our top tier elite members, both of which will further strengthen the appeal and competitiveness of the program. We also launched Upfront Plus early last year, which has performed well and sets the stage for our rollout of first class seating later this year. Platinum and gold elite members will be eligible for complimentary upgrades to these new premium products prior to departure. Over the past several weeks, we've launched a series of targeted promotions aimed at travelers who feel underserved by traditional airline programs. One of the key advantages of Frontier miles is that it delivers benefits faster than other frequent flyer programs, where customers actually realize real value in the form of seat upgrades and added perks even at the lowest tier levels. We're seeing strong momentum and are tracking well against both our growth and financial expectations across Frontier miles and our co-brand credit card program. As we previously outlined, we believe there is significant long-term financial upside in transforming this platform and the early results are encouraging. On the digital front, we launched our new Android app, which is already showing stronger performance than the previous version. A redesigned iOS app is on track to roll out in the coming weeks, followed by a new website later this year. Together, these upgrades will significantly improve the customer experience with more intuitive design and expanded self-service tools. And in February, we introduced frontier vacations, a bundled product that makes trip planning easier by combining flights, hotels, and ground transportation in one streamlined Frontier branded booking experience. Compared to a year ago, Frontier now offers more product choice, more destinations, and a stronger overall experience, reinforcing our position as the best value in air travel. With that, I'll turn it over to Mark for the financial update.
Mark Mitchell : Thanks, Bobby, and good afternoon, everyone. Briefly recapping the quarter, results were largely in line with our pre-announcement on April 10th. Total revenue was $912 million, 5% higher than the ‘24 quarter. Fuel expense totaled $238 million, 10% lower than the ‘24 quarter, driven by a 13% decrease in the average fuel cost, partially offset by 5% higher capacity. We generated a record 107 ASMs per gallon during the quarter, just above a 1% fuel efficiency improvement over the ‘24 quarter. Adjusted non-fuel operating expenses were $720 million, or $0.0724 per available seat mile, 8% higher than the ‘24 quarter, mainly due to lower average daily aircraft utilization related to our disciplined capacity deployment, an increase in station costs, fleet growth, and lower sale leaseback gains from two fewer aircraft deliveries. Partly offsetting these items was a lease return benefit in the quarter resulting from the extension of 14 aircraft leases that were otherwise set to be returned in ‘26 and ‘27. These lease extensions support our mid- to long-term fleet strategy. We took delivery of four A321neo aircraft and two spare aircraft engines during the quarter, raising our total aircraft fleet to 163 at quarter end. We expect to take delivery of three A321neos in the second quarter, one less than previously expected, all of which have committed sale leaseback financing. We currently expect another 13 aircraft deliveries in the second half of ‘25, all of which also have committed sale leaseback financing, along with approximately 40% of our ‘26 deliveries. First quarter pretax loss was $40 million, yielding a 4.4% loss margin, and net loss was $43 million, or $0.19 per share. Our net loss includes a $3 million income tax expense primarily relating to a non-cash valuation allowance against our deferred tax assets. We ended the quarter with $889 million of total liquidity, comprised of unrestricted cash and cash equivalents of $684 million, and $205 million of availability from our undrawn revolving line of credit. As highlighted earlier, we've significantly reduced our planned capacity for the balance of the year to address the macro uncertainty. We expect the capacity reductions to support over $300 million of combined cost reductions in capital spending deferrals over the balance of this year, which includes a mix of benefits from lower capacity and other opportunities to reduce cash outlays across the business. Most of the benefits are expected to be realized in the second half of this year, in line with the progression of the capacity adjustments. The loss of $0.23 to $0.37 per share expected in the second quarter for the guidance we provided in our earnings release, is based on approximately 228 million shares outstanding and the jet fuel curve as of April 29th, which yields an expected average all-in cost per gallon of $2.38. It largely reflects softer travel demand in April, with current booking trends suggesting demand for May and early summer travel have stabilized, and the normal lead time to align costs with capacity reductions. The guide also reflects the expected sequentially higher non-fuel costs, which are primarily related to the timing of fleet deliveries and the impact of the lease return benefit recognized in the first quarter, in addition to normal year-over-year increases directly tied to our larger fleet and sequentially higher capacity. The per share loss includes a projected tax expense provision in the range of $2 million to $5 million due to the expected recognition of a non-cash valuation allowance similar to the first quarter. With that, I'll turn the call back to Barry for closing remarks.
Barry Biffle: Thanks, Mark. Leveraging the investment in our revenue network enhancements and our significant cost advantage, we believe we'll be able to effectively navigate this environment and provide the opportunity to target profitability in the back half of the year. I want to thank everybody for joining us this afternoon. Operator, we're ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Linenberg of Deutsche Bank.
Michael Linenberg: Oh, hey. Good afternoon. Just a couple questions here. Just looking at your average fare being down, I think it was like 6% or 7%. I realize that there is a lot of promotions out there and there's a lot of pressure on pricing. I believe the first couple months of the year were fine. Maybe March was -- maybe that's dragging it down. But I would have thought that you are launching a lot of premium-type products or you've been doing a lot more upselling. And so, I guess the question is, is it the bottom end of the fare structure that's just getting really, really hit here? I mean, if you could just provide some color about maybe how some of the newer, more premium-like products are doing, what the uptake is. I was hoping that that would have at least mitigated the overall average pricing for the quarters.
Barry Biffle: Yes, thanks, Mike. So, look, the premium products are actually doing great. The challenge for us is that, one, we had concentrated our capacity in March. We had really pulled down kind of the off-peak. And in fact, our RASM and fares year-over-year in January were actually, I don't have it in front of me, but they were up. And so, what you're seeing is reflected is all March. Because even though it's a third of the quarter, it's more like a 40% of the capacity that we had planned for the quarter. So, when that took place and we sell pretty close in, it just mechanically drove the average fare down. And so -- and we didn't hit the loads either in March that we would normally hit. So, we took a hit to load, and we didn't sell as much of it, which actually drove down the average.
Michael Linenberg: Okay. That's helpful. And then, just my second question, Barry. As we get to the back part of the year, I mean, I think we were originally working with a capacity increase, I don't know, 3%, 4%, 5%, maybe even higher. And now, you're going to be down. I think in the past, we've seen something on the order of about 20% to 30% of your markets were developmental. New markets, they take time to ramp up. As we get to the back part of the year, the fact that you're shrinking, is that number going to be a lot less? I mean, are we going to see you really focusing more on sort of the core profitable markets of Frontier? Should we anticipate that percentage comes in? Thanks for taking my question.
Barry Biffle: Yes. Thanks, Mike. Yes, that's kind of it. We didn't call that out, but thanks for pointing that out. That is a good tailwind for us when we go into the second half of the year. As far as capacity goes, we said it before. We said if there's any challenges, we weren't going to hit our margin targets, we would adjust capacity. And we're doing it. We're taking ownership of what we can control. We accept that we're at the center of this challenge, which is primarily a domestic leisure situation. But the good news is, as we said on the transcript and in our announcement, the good news is we've seen booking stabilized. In fact, the last couple of days is actually some of the best sales we've had in like six weeks. So it feels like the shock that took place is kind of slowly moderating, right? So I think it kind of froze the demand for a while. But it feels like it's finally stabilizing.
Operator: Our next question comes from the line of Savi Syth of Raymond James.
Savi Syth: Hey, good afternoon. Just around the return to kind of profitability in the second half, is that solely driven by being able to take some of the costs out, given that you have more time to adjust capacity? Or is there kind of something else that you think will kind of drive that improvement as well?
Barry Biffle: Well, I think there's several factors, right? I mean, there's things that are finally starting to stabilize. But also, we've got the fact that we've reduced capacity. This kind of caught us flat-footed, right? Like we didn't know this was going to be the environment. And so we are now changing our schedule for the second half. And you're going to see where the marginal kind of flying kind of that Tuesday, Wednesday, Saturday, we're going to be pulling down capacity significantly. And so that kind of the structure of that helps. Also, the demand environment helps. And then I think everything else we've done on the revenue side, all of the revenue initiatives with the new Frontier, we're really starting to get traction with our economy bundle now. As that landscape is kind of changing, we think it's really benefiting us on a relative basis. Kind of once we get past May 28th, we see real kind of green shoots there as well. So there's just a lot of things coming. Look, and I think the reality is, is that I think there's very few people making money domestically, if anyone. And so I think there's carriers that are subsidizing their basic economy with international and corporate. But to the extent any of that slows down, their ability to actually subsidize that goes away. So I think you're going to continue to see capacity moderation until the margins improve. So I think that's just a backdrop for we feel like really good once this starts to turn around in the second half.
Savi Syth: I appreciate that, Barry. And if I might, like if I look at on the product side, like some of the changes that you've been making, be it on the loyalty program over the last year, over some time, be it the loyalty program or even more recently some of your cheeky promotions it's really been kind of going after maybe a Southwest customer. And I'm curious what you've seen in that front over the last year, and maybe has that changed more recently since they have kind of announced some policy changes?
Barry Biffle: Well, I can start off and then I think Bobby or Jimmy can take it. But as a reminder, we launched the new Frontier last May, and it just takes time to get traction, right? We don't have the most frequent travelers, and so it takes a while for them to see it. So putting those bundled options up front where people could see them was really, really critical. But we're finally starting to really kind of just in the last, actually, probably a few weeks, really get that dialed in as the maturity starting to build and the landscape changing. I mean, I mentioned it a while ago, now we're all on a kind of an equal footing, right? If you think about it, I mean, our product versus everyone else. And if you compare what we offer with our economy products, we offer much more than anyone else does. You get free changes, you get a seat assignment, and it's not just a seat assignment that is in the worst seats on the plane. It's actually a real seat assignment, and you get a carry-on bag. So I don't know, Bobby or Jimmy, you want to comment?
Jimmy Dempsey: Yes, Bobby can talk about loyalty in a second. One of the things, Savi, that we've kind of learned ourselves, like we launched the new Frontier a year ago, and we launched the economy bundle. We always had bundles in the background, but they weren't pushed as hard on our customers. Our customers are starting to understand the economy bundle, but we're actually starting to really understand how to use it, and use it competitively against the industry. And so that's something that's changed in our business. It's really been accelerated in the last two or three months, where we're understanding the power that the economy bundle has in our business. I'll let Bobby talk about the loyalty program.
Bobby Schroeter: Yes, sure, Savi. Great to talk to you. So the loyalty program, we've obviously made a lot of changes. We've talked about those before with regard to companion pass, with the seat upgrades, and a variety of other things that are there. What that does is, again, we talk about equal footing, but the reality is we've leapfrogged, in a lot of ways, the benefits that you get with this. The companion pass, for example, that we have for our elite tiers that get that, you're able to bring a companion each time. You don't have to decide who that is and lock it in for the year. You're able to change that each time. And you get to these elite tiers faster than others, and then you get the real benefits. So one of the things that's been missing for some time, especially as you think about some of the maybe lower elite tiers that are very loyal and profitable, but they're promised these opportunities that don't really come to fruition. You hear stories about people being number 72 on the list. You're not going to see that with us. So there's opportunity for people to engage with our program, get real benefits, and see those benefits quickly. So we think that's a great opportunity. As I said in my prepared remarks, we've seen movement there, both on the growth and financial side, that lines up exactly with what we talked about previously. And we think that's a really massive opportunity for us over the course of the next few years as well.
Operator: Our next question comes from the line of Atul Maheswari of UBS.
Atul Maheswari: Good evening. Thanks a lot for taking my question. So, Barry, on the second quarter guidance, relative to where consensus is currently, is the swing factor simply on cost due to the lead time to align costs with capacity reduction? Or will the second quarter RASM, will that be meaningfully worse than the first quarter despite the lower capacity in the early summer booking stability? Just wanted to get some sense of what's embedded in the guidance.
Barry Biffle: Yes, look, so when this started happening in March for us, we after a week or two, you finally figure out, like, this is not an anomaly and there's real challenges out there. And so we were fortunate. We had not closed the May schedule. And so we started trimming the May schedule. We consequently trimmed the June schedule. But that close in, you've just got too many costs you can't get rid of. So that is a, that's an impact. I don't know, Mark, do you want to kind of talk about this?
Mark Mitchell : Yes, no. And in addition to that, when you look from Q1 to Q2, so we have one less aircraft delivery plan. So there's a headwind there. We also had two spares that we took delivery of in the first quarter, so on a sequential basis. And we did some lease extensions in the first quarter that provided a benefit that, so I think as you look sequentially the costs are up a bit. And then in addition all the push is very highlighted for the initiatives we have to drive costs out in the balance of the year. It takes a bit of time, right, for those to work their way through the system.
Jimmy Dempsey: Yes, and just to add to that, like, we think with all the network adjustments we've made, particularly even though it's close in, but yes, we're carrying costs, but it looks like we've stabilized RASM, and we would expect positive RASM year-over-year in the quarter, albeit on much lower capacity, right? So, we've managed the network changes, particularly Tuesdays, Wednesdays, and Saturdays, in order to get ourselves into a good position from a unit revenue perspective.
Atul Maheswari: That's very helpful. And then as my follow-up, the back half expectations of a return to profitability, relative to the internal expectations that you had for back half earlier in the year, how far below that initial plan would you be for the back-up, assuming demand has stabilized at current levels? Just some way to dimensionalize that would be helpful. And related to that, would you expect to be profitable for the full year?
Barry Biffle: We're not putting out a guide for the full year, but we are targeting profitability in the second half. And I don't think we ever actually put out a guide for the second half. But we will fall short of our original expectations of any double-digit margins this year. Sadly, when we walked into January, in fact, even when we had our earnings call, we thought we were going to wildly blow that out, as I mentioned a while ago. I mean, January fares were up substantially year-over-year. So I think let's put all this in context. We know that there are some macroeconomic challenges, and the leisure customer is the most discretionary, and they've just paused the last four to six weeks of their travel. Good news is, like I said, actually our sales in the last few days have been really good, and, in fact, today's even better than yesterday. So it feels like because people haven't lost jobs, I mean, unemployment's ticked up a little bit, they still have more money. The savings rates showed that they're actually saving money. And so I think there is pent-up demand. I think we get past a lot of these challenges that are out there and get out of the headlines every day with all of the kind of uncertainty. And I think people return to their normal lives, and that's when I think we'll see travel come in. And the good news is I think you're going to see capacity continue to come out because I think there will be some pressure on some of those unprofitable basic economy seats out there. So I think there's a pretty good backdrop. But I'm not going to get into the how different was this. We're dealing with what we can control, and we're changing the capacity to match the demand, and we believe it's going to take us into the third quarter to get that done.
Operator: Our next question comes from the line of Brandon Oglenski of Barclays.
Brandon Oglenski: Hey, Barry and team. Thanks for taking the question. And Barry, don't take this as condescending at all, but I mean, I feel like you guys have had good quarters here and there, but there's always a setback the past three years, and now it's tariffs and maybe a more broader economic slowdown. But I guess in the context of like a multiyear challenge to get to that double-digit profitability, I mean, some of your competitors will say structurally the market has just moved on from the low-cost model, but maybe looking internally, do you need to do something structurally? Are you just over scaled and off peaks, or does this have to be more like M&A solutions across the industry to get this right?
Barry Biffle: Well, Brandon, I appreciate it. Listen, so let's just start with what I said a while ago. January, our RASM was up 19% year-over-year. I mean, let that sink in. It was up 19%. We were on a roll. So I don't think there's anything wrong with our business, and I don't think there's anything wrong with our relative business. I think that there is a demand shock, and we're dealing with that demand shock in the ways that we can control it. I do think one of the reasons why we were doing so well in January and even into most of February, and in fact, we really didn't see any impact to February. It was March that hit us. But if you look at it, the 236 was one of the big drivers of that, and I think if you say what is the structural change, I do think we have continued to fly too much 236 flying even through the peak periods, and we are changing that. And that's why I'm confident when we look kind of at the trends now, and I think you couple it with what we believe is going to happen in the rest of the industry, I think we're going to have a pretty constructive second half. But yes, Brandon, no one's more frustrated than me. I used to work with a gentleman at American Airlines a long time ago, and he used to say this is the business of once in a 10-year event every quarter, and this was quite an event over the last six weeks. But I do think there's kind of some green shoots out there, and I think that this is going to get past us.
Brandon Oglenski: Can I get you to bite on the M&A question.
Barry Biffle: No.
Brandon Oglenski: Okay. I appreciate that, Barry. And then, Mark, really quick, are you extending leases or actually sending aircraft back off lease? Sorry, because there was a lot in your prepared remarks. And I think, like, thank you.
Mark Mitchell : Yes, no. So during the quarter we had an opportunity to extend 14 eight-year leases. Those leases got extended four to six years. As part of our fleet strategy the economics were attractive for these extensions. Get these extensions helped to align our planned heavy maintenance checks on the aircraft and enabled us to optimize shop visit timing and related costs. And the other thing to keep in mind the aircraft that these leases relate to are tied to a favorable maintenance contract. So overall it was something we spent a lot of time on, made sense. And so that, I mean, that's the backdrop to those extensions.
Operator: Our next question comes in the line of Thomas Fitzgerald of TD Cowen.
Tom Fitzgerald: Hey, thanks so much for the time. I wanted to ask you about some of the big hub markets you've been growing in, like LAX and JFK. And I'm just kind of curious how that's been ramping up versus your expectations and just how you're thinking about some of those markets in your broader network. And if it's more, your customers would like you to be there and it's very additive for the loyalty program and maybe a strategic flying or if those routes are holding their own just in absolute sense.
Jimmy Dempsey: Yes, we're quite encouraged, actually. It's enabled us to move more capacity into sort of bigger markets like LAX and JFK. And we're seeing both leisure traffic and VFR traffic in and out of those markets. That seems very, very attractive and really likes low fares at our low fare level. I mean, it's new. A lot of them are maturing and in their first year of activity, but the early results are very, very good. So we expect to continue growing in some of those markets where we see big, large traffic volumes to big, major cities around the United States.
Tom Fitzgerald: Okay, that's really helpful. And then just I'm curious on the loyalty program, you had a nice jump in other revenue for passenger. And apologies if I missed this, but are you able to provide us with just the growth in signups and then the growth in spend rates? Thanks again for the time.
Mark Mitchell : We can't get into the details specifically there. What I will say is there has been a very good growth trajectory that we've seen from the introduction of the new benefits and opportunities. So I'll give you one stat actually on it. So spend itself, as an example, has been up 30% year-over-year as we progress through this. So you're seeing people sign up at a higher rate. You're seeing people engage at a higher rate. And there's a reason for that. We're providing more to those customers. And we believe that there are a lot of customers out there that will find that this is the best program out there from a value perspective and the best program for them that may have been engaged with other programs in the past. And again, we're seeing some of that. And we anticipate that growth will continue. The trajectory, as I said before, hones in on and is tracking with what we've discussed previously around what we need to accomplish over the next few years within this and what we expect to accomplish. So that's good news. And again, very positive results overall.
Operator: Our next question comes from the line of Jamie Baker of JPMorgan Securities.
Unidentified Analyst : Hey, good afternoon. This is James on for Jamie. Barry, you characterized the driving force of last year's oversupply as low-cost carriers flooding the same leisure markets that you called out, Florida and Vegas. Where we sit today, is that still ongoing? And just maybe more broadly, do you see any regions that are particularly weaker than the broader market?
Barry Biffle: Yes, so I think, it wasn't just low-cost. It was high-cost carriers too that had flooded kind of Vegas and Florida. And we've seen that moderate. Look, I think Spirit in Florida is an example. It's cut back capacity. I forget the number, but it's close to 20%. So we've seen that moderate. And you're starting to see the markets heal from that. I mean, like I said, I think had we continued, and maybe we should have done ourselves some favors to actually just show you almost by month how this all progressed, I mean, basically, this demand shock hit us roughly the beginning of March, took away a lot of bookings in March. We basically did not have a spring break. And our revenues weren't that much different than even February. And then that continued into Easter, and we really didn't have basically an Easter either. And so that's why I mentioned a while ago that it's improved significantly now, and even like just when we look at our sales for May at the beginning of the month compared to the beginning of March and the beginning of April, it's come a long way. So I think if you just look overall, you've had just like this hit to the last two months, and it's more impactful to the second quarter. But again, I think this does subside.
Unidentified Analyst : Got it. And then for my second question, how do we think about the mechanics of tariffs in a sale-leaseback transaction? I'm just not too familiar with kind of the mechanics behind it. I mean, is there a cost that Frontier would bear? Or how does that work?
Barry Biffle: We have no plans to pay tariffs.
Operator: Our next question comes from the line of Duane Pfennigwerth of Evercore ISI.
Duane Pfennigwerth: Hey, thanks. If you can, from a high level, can you talk about the profile of new markets? I mean, look, you put in a lot of effort to reconfigure your network to out and back. You made a lot of changes. Everybody was working hard in the planning department. But can you talk about the profile of new markets that are working for you versus the markets that aren't? Are these weaker trends consistent across your network? And then just to follow up on competitive capacity, again, with the new restructured network, is there just a different profile of competition in some markets versus other markets? Help us out there.
Barry Biffle: Yes, so thanks, Duane. Look, I mean, I know everybody's wanting to try to understand what's going on, and that's why we're trying to tell you almost to the minute what we're seeing. The biggest hit is really the Tuesday-Wednesday. It's been a drag for years, but it has dried up. I mean, effectively, the load factors continue to drop on, like, while they're down overall, they were down because of the midweek. This is why we're looking at the fall. There's going to be a significant drawdown. I mean, we're talking about a few hours a day of Tuesday-Wednesday, so mechanically, we are going -- we will address this. And we kind of joked about it, Duane, like, when you run an 85% load factor on a Tuesday, I'll let you add some more capacity. But it doesn't really matter the route mix, it's really more the off-peak that's caused a lot of it, and we probably had too much of it. At the same time, there was, and I think it's because of the timing, when this happened in March and April most significantly, Florida and even Vegas were hit pretty hard. I mean, to give you an idea, we were looking at March Madness weekends, and we had flights going out, maybe we had held out too much before, but we had flights going out 67% load factors inbound to Vegas at March Madness. I mean, basically what happened in March and April, the demand just broke. And so we just didn't see a lot of incremental demand. And in fact, we would lower the fares to see if we would get it. We ended up starting to raise the fares back because we figured out that you just didn't stimulate demand. And it wasn't -- people are not behaving as normal stimulation would happen on low fares. So we actually figured out the people are going to travel, we're going to travel. And so we actually raised our fares back significantly. Hope that helps.
Duane Pfennigwerth: Thanks, Barry. It does. Thank you. Maybe this is like an off the wall question, but would your contracts allow you not to sale lease back, but to outright sell down positions from your order book for a period of time?
Barry Biffle: Not without a negotiation. I mean, the contract does not allow it, but we can sublease aircraft and that is probably the easiest thing to do from the existing fleet. Yes, one thing we can defer, but it's kind of in the outside 18 months. I mean, that's contractual. But no, the easiest thing to do to moderate capacity is all of our fleets are relatively modern. And so we can sublease aircraft.
Operator: Our next question comes from the line of Andrew DiDora of Bank of America.
Andrew DiDora: Hey, everyone. Thanks for taking the questions. So Barry, you mentioned your January RASM was up 19. Can you maybe give us some sense of how that progressed in February and March and any way you can speak to kind of where April has shook out at this point?
Barry Biffle: Yes. So yes, look, we saw a little bit down from January to February, but the big drop was March. So I think if you graph this out, the way it looks like is that there was a shock that hit the market in March, continued through April. It's put a massive dent into May and even June bookings. But we're finally now taking while we've missed a lot of sales, we're now starting to get back to pacing to kind of a normal sales environment, if that kind of helps think about it. And it stands to reason, right? I think there was a lot of uncertainty. People worried about, are they going to lose their job? Is there something wrong in the economy? And then if you don't lose your job and you save your money and you still want to travel, I think it's just going to delay their purchases.
Andrew DiDora: Yes. Got it. And just in terms of what's underlying the EPS guidance that you gave, did I hear Jimmy correctly? You're expecting positive RASM in 2Q on the down low single-digit capacity?
Jimmy Dempsey: That's right, yes. Like we've cut out a lot of Tuesday, Wednesday and Saturday flying. And so we did expect RASM to be up meaningfully in Q2. We still expect it to be marginally positive. But we'll see how it progresses. We've got a lot of sales to do between now and the end of June. But our expectation is, and based on our guide, is that it will be in positive territory.
Operator: Your next question comes from the line of Stephen Trent of Citi.
Stephen Trent: Good afternoon, gentlemen, and thanks very much for taking my question. Most of it might have been answered, but I was curious about how you were thinking about ancillary revenue for passengers. Sort of when we think about sort of your previous strategy before you rolled in the premium, that was a big focus, which I totally get. And as we move forward from a high level, how are you thinking about sort of Verizon, per se, development relative to ancillary revenue per customer? Thank you.
Barry Biffle: Yes, thanks, Stephen. We can talk about it. We've kind of gone away from the ancillary. The competitive landscape's changed, especially if you take kind of post-May 28th, right? And so we believe with the new Frontier and how we've laid out the bundles, we believe it enables us to really use our cost advantage and give those savings to customers for the products that they want and need. And so we're less focused on kind of the ancillary and just the dollars per passenger that we get in total.
Stephen Trent: Appreciate that. And just one really quick follow-up. Could we see sort of medium-term, more alliances and the sort of culture agreement that you're doing with Volaris, for example? Do you see room to do something along those lines? Thank you.
Barry Biffle: Absolutely. We've kind of tested that for a few years now. It's been very successful. And because we're focused so much on the loyalty side of our business, we believe that's an opportunity. And we're looking at partnerships as we speak.
Operator: Our next question comes from the line of Savi Syth of Raymond James.
Savi Syth: Hey, thanks for taking my follow-up. Can I just ask on the fleet side, it seems, is there just one less delivery for the full year as a result of this? It seemed like Airbus was catching up and delivering well. I'm curious on kind of what you're seeing on the fleet side and what you're seeing on the GTF engine side.
Mark Mitchell : Right. No, you're right, Savi. From what we had talked about before, when you look Q2 to Q3, one aircraft shifted. So we had mentioned four before. It is three for Q2. And then for the full year, one aircraft did shift from December to the first quarter. So when you look at the year in total, you did have a shift out of one aircraft.
Savi Syth: And on the GTF front, you're still getting enough kind of engines to replace as needed, so you're not seeing any impacts there?
Mark Mitchell : Correct. No significant AOG issues.
Operator: I am showing no further questions at this time. I would now like to turn it back to Barry Biffle for closing remarks.
Barry Biffle: Well, thank everybody for joining. And we look forward to talking to you next quarter.
Operator: Thank you for your participation in today's conference. This concludes the program. You may now disconnect.